Operator: Good afternoon, ladies and gentlemen, and welcome to the Mobivity Holdings Corp. Third Quarter 2023 Earnings Results Conference Call. At this time all lines are in a listen-only mode. This call is being recorded on Tuesday, November 14, 2023. I would now like to turn the conference over to Mr. Brett Maas from Hayden IR. Please go ahead.
Brett Maas: Thank you, operator. Hosting the call today are, Tom Akin, Chairman of the Board; Kim Carlson, Chief Operating Officer. Before I turn the call over to management, I'd like to call everyone's attention to the company's safe harbor policy. Please note that certain statements made on this call will be forward-looking statements, which are subject to considerable risks and uncertainties. We caution you that such statements reflect management's best judgement based on factors currently known and that the actual results of these events could differ materially. Please refer to the documents filed by the company from time to time with the SEC, and in particular, its most recently filed annual report on Form 10-K. These documents contain and identify important risk factors and other information that may cause actual results to differ from those contained in the forward-looking statements. Any forward-looking statements made during this call are being made as of today. If the call is replayed or reviewed after today, the information presented during this call may not contain current or accurate information. Except as required by law, the company assumes no obligation to update these forward-looking statements publicly or to update the reasons actual results could differ materially from those anticipated in the forward-looking statements, even if the new information becomes available in the future. Today's call may include non-GAAP financial measures, which require a reconciliation to the most directly comparable financial measures, which are calculated and presented in accordance with GAAP that can be found in today's press release, along with our recent corporate presentation, which is also available at mobivity.com. With that said, I'd like to turn the call over to Tom Akin. Tom, floor is yours.
Tom Akin: Thank you, Brett, and hello, everyone. Thanks for joining us today for Mobivity's Q3 2023 earnings call. During the third quarter, we continued to identify on and execute the steps necessary to complete our business transformation and focus primarily on Connected Rewards. Connected Rewards is a platform that connects digital-first businesses like game publishers with real-world brands and powers the interaction between the digital and the real world. Mobility enables digital businesses to offer their users real-world rewards like free food at a quick service restaurants or discounts on gasoline in exchange for actions taken in a digital environment like downloading a game or reaching a certain level of game play. The response to the platform has been overwhelmingly positive from both the brands and the digital publishers. The addressable market is robust, and we continue growing our pipeline and product offerings. Our pipeline for new brand partnerships has grown drastically since the last quarter, and we're encouraged by the team's progress. We've also innovated and launched new products that expand our addressable market and drastically reduce our sales cycle. Furthermore, we have undertaken a thorough analysis of the best ways to shape the business for the future and give Connected Rewards platform the fuel that it needs to grow. We've worked long and hard to find a solution and look forward to having an update for our investors in the near-term. We remain optimistic about the prospects for our business and are confident in the path forward to grow and scale connected rewards. I'd like to hand over the call now to Kim Carlson, our COO, who will discuss details of our continued business transformation. Kim?
Kim Carlson: Thank you, Tom. During the third quarter, we continued our efforts to transform our business. We ramped our new team members and have begun shaping and building the future of our product offering. This quarter, we added new brands, expanded our offerings with existing brands and built a brand pipeline that is healthier than anything we've seen at Mobivity. We launched a zero party-owned messaging database called Play for Perks that will be live later this month. This allows us full control of the distribution and management of these programs, and allows us to move and innovate quickly, which will be extensible to our existing brand footprint. The team innovated and launched several new product offerings that enhanced our reach and value add to both of our client constituencies. We've launched a couple of user acquisition campaigns inside of brand-owned apps that have shown strong results and we progressed the adoption of our cost per engagement revenue model. That allows us to capture more value from digital publishers. Our Connected Rewards platform is our path forward. The platform is showing tremendous promise with current customers, and we are increasingly optimistic about the prospects for wider implementation. Connected Rewards has shown attractive unit economics with the potential for significant optimization. Just as important, we are compiling a vast database of valuable customer preferences that increases the value that we provide to our customers. As we head into the latter part of this year, we are committed to remain laser-focused on our Connected Rewards growth. As Tom mentioned, we're exploring every opportunity to reshape the business and remove distractions so that the team can build on the momentum that we've created in 2023. I'll now turn the call back over to Tom.
Tom Akin: Thanks, Kim. We're really excited about the progress that the company has made this quarter and look forward to finalizing the transformation in the near-term. We've opted to not discuss our financials instead directing our investors to the company's public filings. And with that, I'd like to open it up for any questions from the presentation. Operator?
Operator:
Tom Akin: Thank you, operator. And thank you, everyone, for joining us on the call today. I look forward to updating everyone as we continue to make progress in our business transformation. Thank you much for attending.
Operator: Thank you. Ladies and gentlemen, this concludes your conference call for today. We thank you for participating and ask that you please disconnect your lines. Have a lovely day.